Operator: Hello and welcome to the urban-gro 2021 Third Quarter Earnings Conference Call. As a brief reminder, all participants are currently in a listen-only mode. Following the presentation, there will be a question-and-answer session for those on the teleconference line. Please note that this conference call is being recorded and a replay will be made available on the company's Web site following the end of the call. At this time, I'd like to turn the conference call over to Dan Droller, Executive Vice President of Corporate Development and Investor Relations at urban-gro. Sir, please go ahead.
Dan Droller: Good afternoon and thank you for joining us. Today's call will be led by Brad Nattrass, Chairman and Chief Executive Officer; and Dick Akright, Chief Financial Officer. Following our prepared remarks, we will open up the call to questions for those on the teleconference line. I'd like to remind our listeners that remarks made during this call will include discussion of non-GAAP metrics, including adjusted EBITDA and backlog. These items should not be utilized as a substitute for urban-gro's financial results prepared in accordance with GAAP. Reconciliations of our adjusted EBITDA to GAAP net income or loss is available in our press release and in our Form 10-Q filed with the SEC, and can be accessed from the Investor Relations section of our Web site. On this call, we may state management's intentions, beliefs, expectations or future projections. These are forward-looking statements and involve risks and uncertainties. Forward-looking statements on this call are made pursuant to the Safe Harbor provisions of the federal securities laws and are based on urban-gro's current expectations and actual results could differ materially. As a result, you should not place undue reliance on any forward-looking statements. Some of the factors that could cause actual results to differ materially from these contemplated by such forward-looking statements are discussed in the periodic reports urban-gro filed with the Securities and Exchange Commission. These documents are available in the Investors section of the company's Web site and on the Securities and Exchange Commission's Web site. We encourage you to review these documents carefully. Lastly, a copy of our earnings press release may be found on the Investor Relations section of our Web site at ir.urban-gro.com. In addition, a webcast replay for today's call will be available on the Events section of that same IR site. With that, I would now like to turn the call over to Brad, Chairman and CEO.
Bradley Nattrass: Thank you, Dan. Good afternoon, everyone, and welcome to our third quarter 2021 earnings call. As you can see from both of our releases this afternoon, the contract to design and build approximately 20 turnkey food-focused vertical farms in Europe, and our strong third quarter earnings, this is a great time to be invested in urban-gro. On today's call, we'll cover several topics. I'll begin by providing a brief overview of our business and update on our progress through the end of Q3, including share more on the European contract and further discussing key areas of focus as we continue to build upon our strong momentum. Dick will review our third quarter results in more detail, and then we'll open up the call for questions. urban-gro is the only fully integrated architectural, engineering, and cultivation systems integration company in the indoor controlled environment agriculture, or CEA market. We're fundamentally a high-touch service-oriented company comprised of nearly 80 employees, of which approximately two-thirds are what we refer to as experts, a variety of architects, engineers, cultivation designers, and horticulturists who have a strong history of growing multiple crop types. These experts are urban-gro's IP, and it's the holistic integration of these skill sets and the expertise acquired from working on more than 450 controlled environment ag facilities that provides immense value to our clients, and defines our competitive advantage. Further, and then demonstrated by the newly announced European contract, our IP also travels globally and very efficiently. Focusing on the third quarter financial highlights, we once again delivered record results. We achieved quarterly revenue of $18.3 million, which represents growth of 119% versus the prior year period. We generated positive adjusted EBITDA of approximately $1 million, and positive net income for the second quarter in a row. And further, we finished the quarter with a backlog of $22.5 million, a cash position of over $40 million, and no debt. The continued expansion of our high-margin services offerings, both pre and post operations startup is the key to developing a sound foundation that will support long-term growth. In the third quarter, with the successful acquisition of 2WR, the 23-person award-winning architect firm, we not only expanded our existing offering to include architecture and project management services, but we began the exciting job of integrating our existing engineering and cultivation design services into as many of the, approximately, 70 open projects that they had at time of acquisition. These open projects further represent a phenomenal cross-selling opportunity for our cultivation equipment solutions. We previously estimated this opportunity to be approximately $10 million over the first year post acquisition, and we're well on our way to achieving this target. I've been incredibly pleased with how quickly we've integrated 2WR into our adjacent businesses, and I'm excited by our client's warm reception to full turnkey design engagements that include all three in-house services on one single contract, architecture, engineering, and cultivation design. This acquisition continues to exceed my expectation, and I'm very encouraged by the team's continued progress. For operating facilities, we continue to focus on building out our managed services offering, branded, gro-care. This is a highly advantageous recurring revenue model that utilizes our experts to provide operators with the expertise to assist them with training, onsite and remote troubleshooting, remote monitoring, and equipment maintenance program. And further, since the acquisition, we've bolstered the program by including architectural peer reviews and full facility site analysis reports as well. From both a growth and geographical perspective, we're continuing to execute on opportunities in both the cannabis and food-focused vertical farming markets, and are also making solid progress with our expansion into the EMEA region. Our ability to capture a greater share of these markets is based upon establishing a strong foundation on which to support our service platform and leverage it to new geographies. After primarily working in the legalized cannabis space, since our inception, our acquired massive knowledge in controlling environments and working with one of the most valuable crops in the world has given us a great entry point into food. After engaging with clients on a variety of food-focused vertical farming service contracts in the North American market this year, we've taken a strong leap forward with the signing of the Urban Health Farms contract that we announced today. Based in the Netherlands, Urban Health Farms aims to revolutionize the way food is produced and distributed through indoor vertical farms, cutting edge intersection between agriculture and technology. They have plans under development to commission approximately 20 urban indoor vertical farms to provide local, sustainable food products to communities throughout Europe. Our exclusive engagement provides for urban-gro to deliver all of these complete turnkey facilities, providing architect-led design, procurement, construction management, cultivation equipment integration, commissioning, and the grow care recurring revenue service offering as well. This has been an opportunity that the team has been pursuing and we've been investing in for the better part of 2021. And we're absolutely ecstatic about announcing this long-term alliance today. Supporting this initiative, the recent appointment of Sonia Lo to our Board of Directors should  strong commitment to further building out a leading food-focused presence in the controlled environment ag market. Sonia, having previously served as the CEO of Sensei Ag and Crop One, brings extensive experience as a CEA industry leader to our company. She'll be invaluable as we expand our presence globally, both to new markets and to new crop types. And I couldn't be more enthused about what's in store for us. Further on the European front, cannabis opportunities are continuing to emerge as the market opens up. In 2021, we've been investing in market entry. We've been bolstering our leadership and sales team in Europe, most recently with the hiring of a Vice President of Horticulture who has a very strong background in the EMEA region. And we've also began exhibiting at industry tradeshows in different countries, and speaking on panels, where applicable. I'm pleased with the team's progress. And year-to-date, we've entered into multiple contracts in the Netherlands, Portugal, and Macedonia, and further have a strong pipeline in place to ensure that we continue to expand this reach under our fully-owned entity, urban-gro European Holdings. In the near-term, we will be formalizing our European presence with the opening of a physical base of operations in the Netherlands. And with the newly announced Urban Health Farms contract in place, we intend to accelerate our capital investment into EMEA so we can meet the robust demand and capitalize on this tremendous opportunity that lies ahead. As we move into the fourth quarter of 2021, we continue to launch and invest in innovative vehicles to drive lead generation. The launch of our urban-gro Financial Services division is one such example, and is focused on driving incremental cultivation equipment revenues and margin dollars for the company. Our initial strategic partner, XS Financial, provides the U.S. cannabis industry access to competitively priced and non-dilutive CapEx financing solutions. With this facility in place, we not only strengthen our purchasing power with leading horticulture equipment manufacturers but provide additional value to our clients as well. I believe XS Financial's competitively priced access to capital eliminates yet another barrier for operators. It broadens our reach within the cannabis market, and further assists in minimizing supply chain delays. Before passing the call over to Dick for his financial review, I want to address the revisions to our full-year 2021 guidance, previously given on our second quarter earnings call. As a result of our year-to-date performance, we are raising our full-year 2021 revenue guidance to greater than $60 million. As a result of starting to accelerate our investment and developing our operational infrastructure in Europe during Q3, our increased marketing spend tied to building the urban-gro brand globally, and our proactive investments in companywide headcount to successfully meet anticipated demand, we are revising our full-year 2021 EBITDA guidance to exceed $2.5 million. In closing, to further drive future revenues and profits across all of our offerings, we continue to execute on our business development initiatives. Our pipeline remains robust, and we continue to actively examine service-focused acquisition opportunities that are profitable, accretive, and synergistic to our core offerings. All of the aforementioned moves that we're making continue to tie into our vision to be the leading provider of turnkey indoor high-performance cultivation facilities in the global controlled environment ag market. With that, I'll now turn the call over to Dick.
Dick Akright: Thanks, Brad. I'm excited to talk about our financial results with you today, they demonstrate how we are executing against the strategy that we've articulated, and clearly reflect that we're continuing to grow in a smart, meaningful, and profitable way. With that, we've built upon the strong momentum from the first-half of 2021, which translated into another quarter of record financial results for our third quarter. Revenue was $18.3 million in the third quarter of 2021, compared to $8.3 million in the prior year period, representing an increase of $10 million or 119%. This increase was driven by a $9.1 million increase in equipment systems revenue, and a $1 million increase in services revenue. The increase in equipment systems revenue relates to our historical base business and is evident of the underlying quality and growth potential of that business. The increase in services revenue is primarily attributable to the acquisition of the 2WR entities, at the end of July of this year, which will continue to enhance our reported services revenue numbers on a go-forward basis. Gross profit was $4.3 million or 23% of revenue in the third quarter of 2021, compared to $1.7 million or 20% of revenue in the prior year period. This represents an increase of $2.6 million and 300 basis points as a percent of revenue. The increase in gross profit dollars and margin percentage was driven by a dramatic increase in higher-margin equipment service revenues and an increase in higher-margin services revenues as compared to those experienced in the prior year period. Operating expenses were $4.2 million in the third quarter of 2021, compared to $1.9 million in the prior year period, representing an increase of $2.3 million. This increase in operating expenses was primarily driven by costs associated with an increase in headcount, including the increase in headcount that was associated with the acquisition of the 2WR entities. Net income was $100,000 in the third quarter of 2021, which compared to a net loss of $700,000 in the prior year period, representing an improvement of $800,000. Adjusted EBITDA was $1.0 million or 5.4% of revenue in the third quarter of 2021, compared to $300,000 or 3.8% of revenue in the prior year period, representing an increase of $700,000 and 160 basis points as a percent of revenue. For the nine-month period ended September 30, 2021, we reported total revenue of $43.2 million, which represented an increase of 160%, a $3.7 million reduction in net loss, and a $3 million increase in adjusted EBITDA to $2.1 million. As Brad mentioned in his remarks, we are investing for growth with an emphasis in building out our international capabilities in Europe and the Middle East. While maintaining positive adjusted EBITDA is an important goal, we believe it is imperative that we make calculated investments today to capitalize on the long-term opportunities that will drive continued growth for the future. Moving to reported backlog, our total backlog as of September 30, 2021, was $22.5 million. Equipment backlog, as of September 30, was $18.6 million, as compared to $27.9 million as of June 30, a decrease of $9.3 million. Services backlog, which is initially being reported, as of September 30, was $3.9 million. While there are several variables that influenced the change in backlog, the two primary factors are signed orders and revenue recognized from signed orders during a stipulated period. Because our backlog generally relates to capital expenditure commitments made by our customers, the dollar amount of signed customer orders in individual periods can fluctuate materially. Revenue recognition is then dependent on delivery of these orders. While equipment backlog decreased from June 30 to September 30, 2021, since we began reporting backlog, as of December 31, 2020, backlog has generally trended upward. We believe our backlog should continue to trend upward in the future. Now, turning to our balance sheet, our capital structure is in excellent condition, with cash, as of September 30, 2021, of $40.5 million with no debt, which provides us the necessary flexibility to fuel our growth strategy, including potential M&A targets. The primary uses of cash in the quarter related to $5.6 million associated with the acquisition of the 2WR entities, and $3.4 million in further repurchases of our common stock. At this time, I want to comment on our disclosure around the fraud that we were victims of, in October. While I can't get into the details as there is an ongoing investigation, we have initiated legal action against the bank to recover the entire $5.1 million. We've had the proper controls in place, and as with any incident like this, have conducted a thorough review of our controls and remediations throughout our organization, and with the financial institutions that were spoofed. Although these are clearly unfortunate circumstances, it in no way slows our strategy or has caused us to deviate from our plan. In closing, we are incredibly pleased with our financial results and our continued momentum. With that, I'll turn the call back to the operator and open the call for Q&A.
Operator: Thank you. Ladies and gentlemen, the floor is now open for your question or comments.  And your first question is coming from Aaron Grey from Alliance Global Partners. Aaron, your line is live, please go ahead.
Aaron Grey: Hi, good evening, and congratulations on the quarter.
Bradley Nattrass: Thanks, Aaron, appreciate it.
Aaron Grey: No, absolutely. So, want to kickoff on the new announcement on the exclusive architectural designs for the Urban Health Farms. So, it's kind of looking at the European opportunity, right. Can you help to contextualize how big you think that would be  the next two to three years? So, obviously, there's a cannabis side, which a lot of potential markets could legalize over the next couple years. And then now looking over here, at other vertical controlled environment agriculture and indoor growing, just how do you think about the opportunity international versus what's historically been more of U.S. story,  evolve in the next 12 to 24 months? Thank you.
Bradley Nattrass: Look, I'll start with -- I've said it multiple times, I look at the European market for cannabis really like where the U.S. was about five years ago. And there's a strong demand right now for the expertise and skill sets and horticulture equipment systems that have been utilized in these North American facilities to make them so efficient. In the last, I guess, nine weeks now, I've had a team over four times. And we've exhibited at trade shows, we've spoken on panels, where applicable, and the demand is tremendous. It's a blue ocean. And we actually started to see that a little bit before the start of the year. And we signed some commercial representation agreements at the time, which allowed us to penetrate earlier, and start engaging with clients before we were allowed to travel successfully over again. As I just mentioned, we're working on multiple contracts in the Netherlands, in Portugal, and also Macedonia, all cannabis contracts, early-stage service contracts that traditionally, of course, will lead to more design and integration of equipment systems, and then conditioning. So, opening up urban-gro European Holdings was a good strong move for us to start investing out of the country, and we have a good strong six-month head start right now. And what we learned a little over a year ago is, we, regardless of the crop type, we're crop agnostic. Regardless of the crop type, the same architect firm, it's the same engineering; it's the same cultivation design, and really the same systems that were born in horticulture, like environmental controls and mechanical. The only real difference between a food-focused vertical farm and a cannabis facility is the logistics or the system to move the crop throughout the facility. And so, with Urban Health Farms, that's an opportunity we've been working diligently on for nine months. And it's the initial phase, so excited to bring it to the market. But it's fluid situation. And I knew I'd be asked the question of what's it worth, what's the value to Urban-gro in the future, but I just, at this time, don't feel it's prudent for me to assign a value to up to 20 facilities. But what I can share is these facilities are retrofit facilities. They're all going to be unique. And Urban Health Farms is currently vetting and analyzing industrial sites in multiple countries. And because we have learned to control an environment really in any indoor building format, that's why we were the right choice and the right selection for Urban Health Farms. But, Aaron, I'll continue to keep you updated, and the market updated on how rapidly the contract will turn into revenues. But we, as I just mentioned, are actively investing into our European infrastructure. It's one of the reasons we also deceased the EBITDA guidance. It's worthwhile on all fronts, and both food and cannabis.
Aaron Grey: Thanks for that color, that's really helpful. And then second quarter for me, just turning back to the U.S. then. Just want to get a better idea of new states come online, particularly I think about some of the Northeast states where adult use sales should begin over the next couple of years, New York, New Jersey, Connecticut. In terms of you guys  for different construction   how do we think about the leads when adult use start? I'm sure you guys are already getting inbound calls to help on projects, when that starts flowing through the revenue, just as we think about the buildup of these new states coming online and that flowing through the urban-gro's P&L? Thank you.
Bradley Nattrass: Thanks, Aaron. Well, first of all, we're seeing incredibly strong demand. The acquisition of the architect firm 2WR, it's by far exceeding my expectations, at the time of acquisition, had 70 open projects. And the nice positive aspect of an architect firm is we learned they're the first to touch the client. And so, now, we're touching the client 12, 16 months before that facility is operational. So, out of 80 employees we have, as I mentioned, about 60 architects, engineers, horticulturists, so we're holding the client's hand now throughout the entire life of the grow. And so, by getting involved earlier we're able to earn the trust of the client, deliver a good, strong customer experience, and be there for the entire process. So, most, as you would have noticed on our services, reported an increase by about 5X, and that was only with two months of 2WR services involved in Q3. So, as new states open by launching earlier this year a digital marketing plan, by being able to access new clients at tradeshows, like the very successful MJBiz last month, we're able to meet them in the planning stage. And more than 90% of the time when we're engaged in services, that translates over to equipment solutions. And, now in the future, we're driving hard for full turnkey solutions as well.
Aaron Grey: All right, thanks for that helpful color on that, and I'll go on and jump back into the queue, and congrats, again, on the quarter.
Bradley Nattrass: Thank you, Aaron.
Operator: Thank you. Your next question is coming from Eric Des Lauriers from Craig-Hallum. Eric, your line is live, please go ahead.
Eric Des Lauriers: All right, great, thank you, and congrats on the strong quarter, and the Urban Health Farms partnership.
Bradley Nattrass: Thank you, Eric.
Eric Des Lauriers: Sticking with that Urban Health Farms partnership, the press release notes your plan to commission 20 vertical farms. It sounds like that's an up-to number, and not necessarily contractually obligated. Could you maybe walk through the expected timing of those 20 farms or if there's a minimum number of facility build-outs as part of that partnership? Can you just help us understand what the range of expected outcomes could be here from a number of farms perspective, and then the overall timing of what to expect with those partnerships? Thanks.
Bradley Nattrass: Yes, thanks, Eric. We started with the signing of the   services agreement, and that's the agreement that we just announced. So, that agreement sort of sets forth the rules of how the companies will interact with each other in the years ahead. So, urban-gro has been chosen to do the complete design and build for up to 20 facilities. Each facility will have its own statement of work. And so, as I had mentioned, they are currently looking at sites and analyzing industrial sites in multiple countries. When they close on that site, we'll sign a statement of work, and then urban-gro will step in with the site development and all of our services, and then equipment solutions. We anticipate, depending on the size of the facility, which will vary, because they are all retrofits, and they're all unique. So, we anticipate the time to complete a facility should be anywhere from nine months up to 15 months, depending on the size, and also depending on any unforeseen delays or supply chain delays that are hitting certain parts of the world right now.
Eric Des Lauriers: No, that's helpful. I appreciate that color. And then, I guess, just sort of higher level, how should we think about your capacity to service deals, whether it's a market like Europe or just in the U.S.? I'd imagine, for example, this Urban Health Farms, I imagine that a partnership of that scale would certainly keep your employees quite busy. But wondering if you can just help us understand the potential bottlenecks or your overall capacity to service more deals, either in Europe or just beyond, like how should we think of your overall capacity to service deals, and what the bottlenecks are in your guys' business as you look to scale? Thanks.
Bradley Nattrass: Thanks, Eric. Well, this also ties into part of my discussion on reducing the EBITDA guidance. We are aggressively hiring right now architects and engineers on the U.S. market. Right now, I believe, we have over 10 job postings out. We've started to build our team over in Europe, because we do not -- you're absolutely right, we don't want to take our experts over to Europe and leave a gap here in the U.S. market. So, we've chosen a select group of individuals who will move over to Europe and then help train the team in the European marketplace. But we've also got to rely on our M&A initiatives as well. We're not burning cash, we've actively executing on our M&A plans with a great -- we have a strong pipeline, and we're looking at service-focused accretive synergistic companies that drive cross-selling opportunity, similar to what we did with 2WR. So, we will look in Europe through a combination of hiring, and then also through a combination of acquisitions as well. So, we maintain that cash position of just over $40 million entering Q4, so we're well-capitalized to execute for sure.
Eric Des Lauriers: Great, thanks. Appreciate the color.
Bradley Nattrass: Thank you.
Operator:  And the next question is coming from Colin Ferrian from MJResearchCo. Colin, your line is live, please go ahead.
Colin Ferrian: Hey, guys, congrats on the nice quarter.
Bradley Nattrass: Thank you, Colin, appreciate it.
Colin Ferrian: Brad, could you provide any color, specifically on the North America demand side? I think we've seen, specifically, a couple of your peers seeing slowdowns this quarter, in particular. And it doesn't seem to be an issue for you guys. I'm curious if it's geographic diversity or if there is any other differentiation, like the XS deal; you could provide some color on?
Bradley Nattrass: For sure, Colin, we continue to see strong demand across the European markets and the North American marketplace. I've read references to perhaps a weak California, where supply chain issues causing delays across the industry. But most of our clients don't operate in the California marketplace. And we haven't had any material -- we haven't experienced any material supply chain issues at all. Maybe some delays from vendors, but that's just requiring us to more proactively work ahead on the planning with our clients, but that being said, our global growth puddle is decreasing our exposure to specific markets. But I'll talk a little bit about backlog. We entered Q3 with a backlog of just under $28 million. And that backlog, I've always said that's a great indicator of future revenue or market demand for urban-gro, but there's variables out of our control that affect the timing, especially on a short three-month period. So, you saw this in third quarter, our backlog dropped to $22.5 million. However, there was a larger contract that just pushed into Q4, and so therefore didn't make it into that number. So, in Q4 so far, we have, in just five weeks, signed close to $15 million in new contracts. And so that's a good strong indication, I'm sure, of the demand that we're experiencing here, in North America.
Colin Ferrian: That's helpful. And the only other question then is I'm curious if even in the demand over the past four weeks, how much of that is attributed to the partnership you guys have signed with XS and the financial services division startup? And then is there a possibility that that can pay additional dividends, either into Q4 or, I guess, into 2022 as you guys look forward into the future?
Bradley Nattrass: I think for sure it will have an impact. XS providing non-dilutive, aggressive financing to our clients, that's a solution that's been requested for years now, and we don't have any business since we signed the contract and made the investment to report. So, we did work on a project and a larger MSO together before we signed the contract. But since we announced the partnership, we're introducing the solution to multiple clients that qualify. And I think there's a couple dozen calls that we're in the process of right now introducing. But I have the team racing to get the solution out to the marketplace because it's so attractive. They've got a great leadership team too, very confident, very experienced in our sector but -- not only our sector but also other sectors. And I think our clients will enjoy the working partnership.
Colin Ferrian: Great, sounds like we have come to our tail ends. Thanks for the time, guys.
Bradley Nattrass: Thanks, Colin, greatly appreciate it.
Operator: Thank you.  Our next question is coming from Scott  . Scott, your line is live, please go ahead.
Unidentified Analyst: Hey, guys, congratulations on the quarter. Hope you're doing well.
Bradley Nattrass: Thanks, Scott.
Unidentified Analyst: I am -- Two questions, first on the backlog. Can you differentiate on the services side, how does the $3.9 million reported in this quarter compare previously? And what's the margin differential with the services gross margin?
Bradley Nattrass: I'm going to ask Dick to answer this question, please.
Dick Akright: Hey, Scott. Yes, with regard to the services backlog, this is the first time we've really started reporting it because of the -- a lot of that pertains to the acquisition of the 2WR entities and the pure architecture services that they provide, so that's why we started providing it for this quarter. And it hasn't been -- and internally for us, before that, it hasn't been a meaningful number and we had always just focused on the equipment side from that reporting. And then I believe your second kind of part of your question related around or centered around the margins with regard to the services versus the equipment side. And we certainly see higher margins with regard to the services side of the business. As we had reported after the 2WR acquisition had closed, showing their historical financial statements over the last two years, their margins had been in the low 40% range from the standpoint of services. We're excited about showing those services, going forward, in our financials. Certainly as -- not been seeing any kind of decrease from the standpoint of the revenue that they're experiencing and the number of the jobs that they're having come in. So, that is certainly going to help boost our margins from the standpoint of things going forward, that's for sure. And then it just kind of continually leads to additional incremental equipment sales for us, because, as Brad had indicated, we get into the clients earlier, we're very sticky from that standpoint, and the customers tend to see the benefit that we offer to them. And then they end up ordering the equipment through us. So, even though our services revenue certainly is going to be increasing going forward, we believe it's going to lead to an increase in the equipment side of things for us, which we're still making a nice margin on and will help us, really, to grow the top line of the business.
Unidentified Analyst: Great, thank you. And my second question is with regard to the elevated level of spend. Can you provide a little bit of color on how long you expect this higher level to last? Is this a permanent change or is this a couple of quarters? Can you provide a little color on the timeline?
Bradley Nattrass: Sure, Scott. This is Brad again. Bottom line, we're reinvesting in the P&L, and it's based upon what I've been seeing since the last earnings call. The add acquisition of 2WR, it's more successful than anticipated, which is great. But, of course, it's resulted in us aggressively hiring. And we don't envision the demand slowing down at all, and so we're not hiring just to keep up with existing demand. We're hiring to take care and supply the -- to meet the future demand as well in the first-half of next year. Second is the European contract, we've been working on that for a while, so we've been accelerating our investment into urban-gro European Holdings. So, we're hitting the ground running. But we're in a rapid growth mode right now, and strong focus on top line but we are well aware, as I've referred it on past calls, and focused on maintaining positive adjusted EBITDA as well. But we're not burning cash, so we're keeping that in the strong position. And where we can acquire versus hire, we will absolutely look at that initiative as well. But as for timing -- one more thing, actually, I would love to add, is about building the brand. And tradeshows in the controlled environment ag industry are traditionally a big deal, and they have a large turnout and it's a great chance -- there's a great chance to meet new clients. And so, you will see an increased marketing spend in the European market as well, and we started that with a couple of shows in the Netherlands, GreenTech and a large cannabis show in Germany as well, over the last few months. In the U.S. market, so the NASDAQ changed everything for urban-gro. The brand-building, the notoriety, the arriving on the scene being strong, being a trusted partner for our clients, brining the right skill sets on so our clients don't have to go, they have a one-stop shop for all their needs; that's important, but it also costs money. So, I'm not going to put a timeline on it, but I would say probably at least into the first or second quarter of 2022.
Unidentified Analyst: Great, that's terrific. Keep up the good work, appreciate it.
Dick Akright: Thank you.
Bradley Nattrass: I appreciate it, Scott, thanks.
Operator: And your next question is coming from Quinn Stills of Palisades Investment Partners. Quinn, your line is live, please go ahead.
Quinn Stills: Great, thank you. I have a question, just more broadly speaking about macro wins. With the European economies opening up from COVID, the U.S. opening up from COVID, and the travel restrictions coming down, are you seeing that as a tailwind in terms of your activity, new business activity? Can you comment on any tailwinds you might be getting from things just opening up in general, vis-à-vis where they were a year ago? Thank you.
Bradley Nattrass: Thank you, Quinn. I'll start over in the European market. In the cannabis segment, there wasn't enough momentum pre-COVID to really drive the momentum through that year-and-a-half period, unlike the U.S. market, where cannabis was deemed an essential business very early on, and it really picked up steam and momentum across all segments, ancillary and the cultivation side in the U.S. Canada marketplace. In Europe, it was only five months ago that we were needing to get approval from the government to visit the Netherlands, for example. The last time we were there, we were tested every day at a tradeshow. So, they're not -- I don't feel the tailwinds are there yet, they're only going to get stronger. But by hiring a vice president of horticulture who is strong -- based in the Netherlands and strong in the EMEA region by building out our team in-market, that's going to allow us to, regardless of how fast COVID begins to slowdown, will allow us to grow aggressively. Of course, it always helps when you have a strong client, and we have that on the food vertical -- the food side and the cannabis side, multiple clients. So, we're not building it and hoping the clients will come, we have the clients and we're going to give them a great customer experience with urban-gro.
Quinn Stills: Great, thank you.
Operator: That is all the questions we have for today. Please reach out to investors@urban-gro.com with any additional questions. I will now turn the call back over to Mr. Nattrass for closing comments.
Bradley Nattrass: Thank you, Tom. Greatly appreciate it and I'm grateful for our time together today, and all of your interest and ongoing support of urban-gro. It's been a great ride. And I always say we're just getting started. Our commitment to our clients is unwavering. And as we continue down the path and execute our growth plan, both organically and through M&A, we aim to deliver sustainable long-term value to both our clients and, of course, to our shareholders as well. So, thank you very much for listening, and have a great evening.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.